Operator: Good morning and welcome to PACCAR's Fourth Quarter 2019 Earnings Conference Call. [Operator Instructions] I would now like to introduce Mr. Ken Hastings, PACCAR's Director of Investor Relations. Mr. Hastings, please go ahead.
Ken Hastings: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Ken Hastings, PACCAR's Director of Investor Relations and joining me this morning are Preston Feight, Chief Executive Officer; Harrie Schippers, President and Chief Financial Officer; and Michael Barkley, Senior Vice President and Controller. As with prior conference calls, we ask that any members of the media on the line participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties, including general, economic and competitive conditions that may affect expected results. For additional information, please see our SEC filings in the Investor Relations page of paccar.com. I would now like to introduce Preston Feight.
Preston Feight: Good morning. Harrie Schippers and I will update you on our excellent fourth quarter and record full year 2019 results and business highlights. Thanks to PACCAR's outstanding employees around the world, 2019 was the best year in the company's 114 year history. PACCAR achieved record revenues of $25.6 billion and record net income of $2.39 billion, a 9.3% after-tax return on revenues. PACCAR strong financial performance in 2019 benefited from PACCAR Parts record pre-tax profits of $831 million and PACCAR Financial Services pre-tax profits of $299 million. PACCAR has achieved 81 consecutive years of net income and a total shareholder return in 2019 of 45%. The company has paid a dividend every year since 1941. In 2019, PACCAR declared dividends of $3.58 per share a 16% increase over 2018. Total dividends declared were a record $1.24 billion. PACCAR's fourth quarter revenues were $6.1 billion and fourth quarter net income was $531 million. PACCAR delivered 45,700 trucks during the fourth quarter compared to 49,300 in the third quarter. There were fewer build days and lower build rates in North America compared to the third quarter. [Indiscernible] remained steady. The U.S. economy performed well in 2019, which contributed to a strong truck market. In 2019, U.S. and Canadian Class 8 truck retail sales were 309,000 units, the second highest truck sales in history. During 2019, Kenworth and Peterbilt combined market share increased to 30% compared to 29.4% in the prior year. In 2020, the U.S. economy is expected to grow by about 2%. The new U.S. MCA and China Phase 1 trade agreements could provide upside in the economy and are good for PACCAR. We estimate that 2020 U.S. and Canada Class 8 truck market to be in a range of 230,000 to 260,000 vehicles. European above 16-tonne truck registrations were 320,000 vehicles in 2019, reflecting continued robust customer demand after several years of steady economic growth. DAF delivered a strong 16.2% market share. In 2020, the European economies are projected to continue growing and we expect another excellent truck market with above 16-tonne registrations in a range of 260,000 to 290,000 vehicles. I would like to recognize PACCAR's high performing Kenworth, Peterbilt, and DAF dealers who are the best in the industry and important contributors to our success. Truck and parts gross margins were 14.4% in the fourth quarter. Truck pricing increased during the quarter, more than offsetting costs. In the first quarter, we expect deliveries to be 5% to 7% lower than the fourth quarter due to normalized markets and build rates in North America. First quarter truck and parts gross margins are estimated to be around 14%. PACCAR continues to take a rigorous approach to controlling costs throughout the business cycle and delivers industry-leading operating margins. Other 2019 accomplishments included PACCAR delivering a record 199,000 trucks worldwide. Kenworth, Peterbilt, and DAF expanding the range of battery electric, hybrid, and hydrogen fuel cell trucks in field testing with customers; and South American deliveries increasing by 60%. The company's focus on sustainable business practices were recognized by the environmental reporting firm CDP. For the second consecutive year, PACCAR achieved an A rating, which puts us in the top 2% of more than 8,000 companies which report to CDP. PACCAR is one of only 35 companies in the United States to earn the A rating. In addition, we're proud that Peterbilt, Kenworth and PACCAR Parts were recognized as top workplaces for women by the organization Women in Trucking. Harrie Schippers will now provide an update on PACCAR Parts, PACCAR Financial Services, and PACCAR's investments in future growth.
Harrie Schippers: Thanks, Preston. In 2019, PACCAR Parts generated record annual revenues of more than $4 billion and record annual pre-tax profit of $831 million. Annual parts revenue grew 5% and profit grew 8% compared to 2018. Parts fourth quarter revenues were $994 million and quarterly pre-tax profit was a strong $205 million. PACCAR has steadily increased its truck and engine market share over the years, resulting in a greater number of PACCAR trucks and engines in operation. At the same time, PACCAR has consistently expanded its network of parts distribution centers such as the ones opening this year in Las Vegas, Nevada, and Ponta Grossa, Brazil. Kenworth, Peterbilt and DAF dealers have made large investments to increase their service capacity. The growing part of PACCAR trucks and power trains and the enhanced parts distribution and service network grant [ph] future long-term growth. In 2020, we estimate part sales to grow by 4% to 6%. PACCAR Financial Services achieved 2019 records in annual revenues of $1.48 billion, new business volume of $5.6 billion, and portfolio assets of $16.1 billion. The portfolio continues to perform well with low past dues and low credit losses. Fourth quarter pre-tax income was $68 million, the same as in the third quarter. PACCAR Parts and PACCAR Financial Services profit contributions enhance PACCAR's financial results through all phases of the business cycle. I'm pleased to share that in 2019, PACCAR was recognized for its products and manufacturing innovations. DAF earned Truck of the Year awards in the U.K., Poland, Czech Republic, and Slovakia and the Green Truck Logistics Solution Award in Germany. Kenworth Chillicothe and Peterbilt Denton each earned a prestigious 2019 Manufacturing Leadership Award from the National Association of Manufacturers. At the CES Technology Show in Las Vegas earlier this month, PACCAR showcased a Level 4 autonomous vehicle and two battery electric trucks. We had a terrific turnout of people interested in PACCAR technology and the opportunity to see the trucks first-hand. Kenworth, Peterbilt, and DAF have each announced that they will begin producing alternative powertrain trucks in the next 12 to 18 months. PACCAR is a leader in all powertrain technologies that drive our industry including diesel, battery, hybrid, and hydrogen fuel cell. PACCAR invested a record $744 million in capital and $327 million in R&D expenses last year. In 2020, we're planning capital investments in the range of $625 million to $675 million and R&D expenses of $310 to $340 million. These capital and R&D projects will develop the next generation of fuel-efficient vehicles and enhance the company's manufacturing and parts distribution facilities. Thank you. We'd be pleased to answer your questions.
Operator: [Operator Instructions] Our first question comes from Tim Thein with Citigroup. Your line is now open.
Timothy Thein: Thank you. Good morning. Preston, maybe, the first one just on the guidance here for the first quarter. I'm looking at build rate in the industry level at least projected build plans for North America calling for a modest -- a small sequential step up from 4Q to 1Q and I'm curious how PACCAR fits into that in terms of within the context of that I think you said down 5% to 7% deliveries where North America fits in relative to Europe and some of the other markets?
Preston Feight: Sure, as we just said, we do expect deliveries to be overall 5% to 7% lower and that's kind of matching to where the market really is. North America is more of that than Europe is. Europe's been fairly stable for us through the fourth quarter and into the first quarter and real issues matching to where the normalized market has become where we're seeing the normalized market. So it's nice for us as we have a pretty good percentage of the backlog, I think it is roughly 34% of the backlog and compared to the inventory where there -- we are a smaller percentage of the inventory. In fact, we only have about two months' worth of inventory, 2.5 months of inventory sitting in there. So we are in pretty good shape that way and it's just normalizing to the market.
Timothy Thein: Okay, all right and then on the margins in the first quarter, there is obviously, you'll get a little bit more help from a seasonal perspective in the second quarter, but how are you considering that roughly 14% margin today in the first quarter relative to the full year?
Preston Feight: So when you look at the first quarter and it's kind of where we stop our guidance to it is we look at the 14%, I think that's really continuing to deliver as PACCAR does excellent industry leading margins and that's kind of consistently good for us and we're pleased to be able to deliver that and that's really because of the performance of our teams on the truck side, the financial services side, and the Parts team and in composite that works really well.
Timothy Thein: Alrighty, I will now pass it on. Thank you.
Preston Feight: Okay, thank you. Have a good day.
Operator: Our next question comes from the line of Ann Duignan with JPMorgan. Your line is now open.
Unidentified Analyst: Hi, this is Thompson Rich [ph] on behalf of Ann.
Preston Feight: Hello.
Unidentified Analyst: Hi, quick question on SG&A, which came in a bit higher than we had modeled for the fourth quarter. Can you just talk about what drove the year-on-year increase. Is Q4 a fair run rate for 2020?
Preston Feight: When we look at SG&A, one of the nice things for PACCAR is we have the lowest SG&A in the industry by a [ph] substantial. We do a great job of managing that. As a percentage of sales, it was actually down in 2019 at the end of the year and we always take a look, we have a rigorous approach to cost control at all elements of the business both in up cycles and down cycles and we continue to manage that cost to the great levels we maintain. It's how we think about it. Consider very little things, very little is fixed costs and just try to do a great job.
Unidentified Analyst: Okay. And can you discuss new orders in North America and Europe for PACCAR relative to the industry. I think last quarter you noted your backlog represented 36% of the industry backlog. Where does it stand at the end of Q4?
Preston Feight: Sure, our backlog is really sitting around 34% is what we have now. As we look at orders, orders are a complicated thing because it depends on everybody's inputs for what's an order and what's been canceled. So what we think about more is we make sure that what we're building has a firm order a customer name on it, and that's what we do and so we've been able to adjust our build rates aligned with our orders and that carries us forward as we look into next year.
Operator: Our next question comes from Stephen Volkmann with Jefferies. Your line is open.
Stephen Volkmann: Good morning, gentlemen. I'm curious, Preston, based on what you know today, obviously things could change, but are the run rates for each of your factories kind of what you'd expect to be sort of stable through the year or do you think at some point there will be another production cut needed?
Preston Feight: I think we think about it in a little bit more close in view than that. We think about whether the orders we have right now present the backlog we need to keep the factories running smoothly and that's where we're at right now. We've continued to adjust as I said, we think, first quarter's deliveries will be down 5% to 7% and build kind of matches that. Actually, it has to tie together. So that's where we're thinking about in the first quarter. We are operating in what we think is a good economy, GDP growth is going to be up almost 2% in the U.S. We think European GDP is growing. So there is some positive reasons to think about the economy and the operating environment. So we'll see what happens through the course of the year as far as build.
Stephen Volkmann: Okay, thanks. And can you just comment on what you're seeing in terms of used pricing and I'll pass it on.
Preston Feight: Sure, used pricing as we said in the last quarterly is continuing to be a headwind. I think in the last time we talked about it being somewhere in the double-digit declines and so a nice thing for being part of PACCAR, as we have an amazing team in our PACCAR Financial Services Group that does a great job of managing the used trucks. We sell the best trucks in the industry and the second owners love buying PACCAR products. It's really one of our inherent advantages and the other part of it is, I think we continue to invest in our used truck organization so that we add new used truck centers throughout Europe and North America to make sure that we are meeting the market needs as we grow our market share, it means there is ultimately more used trucks and we want to take care of our customers with those used truck centers.
Stephen Volkmann: Thank you.
Operator: Our next question comes from Andy Casey with Wells Fargo Securities. Your line is now open.
Andrew Casey: Thanks a lot. Good morning.
Preston Feight: Good morning.
Andrew Casey: I want to kind of flip over to Financial Services. Revenue was quite strong. Can you comment on what drove the strength in revenue and then also within the Financial Services, the provision for losses on receivables dropped on an absolute basis sequentially against what continues to be a pretty challenging used truck price environment that you just described and I'm just wondering what the drivers were for that as well?
Preston Feight: Sure. Harry, you want to?
Harrie Schippers: Sure. So the PACCAR Financial had a good quarter. We have a good portfolio, record revenues, so that drives a lot of the profit improvement, but like Preston said used trucks continue to be a headwind for the finance company. We expect that that will continue in the first quarter and customers continue to pay their bills. Past dues are low, below 1% and credit losses are favorable too. So we expect with all of that the first quarter results of the finance company to be very similar to the fourth quarter.
Andrew Casey: Okay. Thank you and just Harrie, back on the revenue, it went up pretty significantly year-over-year, but also sequentially -- was there any?
Harrie Schippers: Sure, some of that reflects the increased volume of used truck sales that flow through the finance company.
Andrew Casey: Okay, thank you very much.
Harrie Schippers: You're welcome.
Operator: Our next question comes from Jerry [ph] with Goldman Sachs. Your line is now open.
Unidentified Analyst: Yes, hi, good morning and good afternoon everyone. I'm wondering if you could please talk about what you're seeing out of your competitors in the U.S. and Canada. Typically, when we are heading into a production downturn, you folks are the first to cut production and your market share in the initial stages of a downturn is typically lower as a result and this time your production share actually went up in the first quarter, a reduction here, can you just talk about what you're seeing out of your competitors and what's driving the different cadence in terms of your production share in this fourth quarter compared to the past couple of production downturns?
Preston Feight: Well, what we experience right now is we have just fantastic products out there with great dealer network, great products out there, and I think there just is strong demand for our products. This really is simply as it can be put as people want to drive the best trucks and have the best services and the best powertrains and that's what we offer. So we build again -- coming back to what -- we build to what an order -- to the orders we have and that's driving our increase in share and that's as simple as we think about it, it's really kind of a nice picture for us because they're great products.
Unidentified Analyst: And when you look at the overall inventory picture for the industry. So we're exiting '19 with about 73,000 trucks in inventory, which if you apply prior cycles, looks like the industry need to take out about 20,000, maybe 30,000 trucks out of dealer inventories. What does that picture look like for PACCAR just as the natural transition for some custom end applications that are completed at the dealer site, how much do you anticipate your dealer inventories coming down in '20.
Preston Feight: It's a good question. Our inventories are in a really good shape. You said 73,000. So that's kind of a round number. If I use a round number for us, call it 18,000 of Kenworth and Peterbilt combined. It obviously depends when you start it, but as we have 30% of the market share, we really only have 25% of the inventory. So that says again that we're in pretty good condition and some of that inventory, quite a bit of that inventory is with body builders right now. So we have the leader in the vocational market and so some of those trucks are getting bodies put onto them right now.
Unidentified Analyst: And then, on the parts business; you folks have continued to have pretty steady performance even though there has been some puts and takes for freight markets, can you just talk about in your outlook for 4% to 6% growth how much is the contribution from your engines hitting the sweet spot -- the new truck lineup hitting the sweet spot for parts consumption versus underlying freight traffic. Can you just give us a bit context directionally how you're thinking about the pieces relative to the outlook?
Preston Feight: Yes, I think that there is a couple of things going on and the parts team continues to do an outstanding job. They have great technologies they are employing. It is something that we maybe don't give enough sharing of. Their e-commerce program is outstanding and that's doing a great job of making sure we have the right products at the right places. As we mentioned in our earlier comments, we're investing in distribution centers as well. A new distribution center coming online this year in Las Vegas, Nevada, another one in Ponta Grossa in Brazil. Those contribute to parts performance. We continue to grow our proprietary power trains you mentioned. So I wouldn't say that's stable. That's a growing opportunity for us. Last year, we finished at 43% for engine sales being with our MX engines. So that's great. It was 47% actually in the fourth quarter. That's another opportunity for us. You mentioned the great trucks and the growing share they contribute to the parts teams growth. There's just a lot of great things happening on the parts team and so we have a great future to look forward to there.
Unidentified Analyst: So you don't need really strong pickup in freight volumes to get the 4% to 6% growth target?
Preston Feight: No, I think what you see is the freight volume does drive demand, but it's really about the size of the part bigger -- bigger influences or size of the part, size of your proprietary content and that takes a few years to mature where parts consumption is really growing. Again, looking forward, I think that we have a great amount of freight being hauled right. Freight tonnage was up last year over 3% and so that's going to contribute to utilization, we agree with you on that.
Unidentified Analyst: I appreciate the discussion. Thanks.
Preston Feight: Have a good day.
Operator: Our next question comes from Ross Gilardi with Bank of America. Your line is now open.
Ross Gilardi: Yes, good morning guys. I just had a question on decremental margin. I mean, if you go back to 2016, you seem to have sort of a similar revenue composition of down truck production but very steady parts and that translated into kind of 15%-ish type decremental gross margin pre-R&D. Is there any reason why you shouldn't be able to sustain a similar level of performance or anything to think about this time around versus then?
Preston Feight: No, I think you characterized it well and then we think about incrementals and decrementals in that 15% to 20% range and so what as you said, we saw in the 2016 time frame and I think that's a nice way to look at it going forward.
Ross Gilardi: Okay, great. And then the parts business has remained very resilient but certainly did decelerate a bit as the year kind of grinded on. Are you seeing any type of maintenance deferrals amid softer market conditions and when you say that you expect the business to be up 4% to 6% in 2020, is that somewhat second half weighted or do you think we'll see this acceleration back to that growth trajectory out of the gate in the first half of the year?
Preston Feight: Yes, I think that the 4% to 6% obviously is what we said for how we look at it going forward and I don't think I would try to stratify that by quarter. I think it's going to be good performance throughout. Obviously, there can always be moments of cyclicality that are impossible to kind of guess where people are going to be by weeks or a month, but in general with great freight volumes, a great parts team, the right product lineups and the right investments, it's going to continue to deliver.
Ross Gilardi: And then just on the SG&A, the question you got before. Are you trying to say that SG&A as a percentage of sales overall should be roughly similar to where it was in 2019?
Preston Feight: Well, that's, if you go back and look, that's where SG&A has kind of run for us. Again, comparing it to the industry, it's significantly, the leanness of PACCAR shows through and we continue to do a great job of managing that SG&A and I think we'll continue to do that going forward.
Ken Hastings: Well, I think the context of the prior question was just that it did jump a little bit in the fourth quarter relative to the third quarter. So just realistically, if we're looking at it for the full year, I'm just trying to get a sense if I take your sales if it's going to --
Preston Feight: Take a longer view of it and look where PACCAR has historically performed and know that we'll perform in that same level, as I think I would guess I'd share is we will continue to rigorously manage our costs and control them and make the right decisions to build the future of the company in a great way.
Ross Gilardi: Okay. And then just lastly on the R&D side, I mean you're guiding to sort of stable R&D, but in the context of getting to production models for your alternative powertrain models over the next year and a half, how should we think about that. I guess I'm a little bit surprised that that number is not ramping up a little bit as you're moving in that direction?
Preston Feight: I think we have an amazing team of engineering people around the world and they're doing a fantastic job of looking at how we should go to production. We're working closely with all the customers who's interest is in alternative powertrains and we'll have the right technologies for those customers when it comes time. We continue to do that in PACCAR's way which is with good decision, making prudent investments, and leveraging our supply base and the other companies that are out there.
Ross Gilardi: Thanks very much.
Preston Feight: You bet.
Operator: Our next question comes from Jamie Cook with Credit Suisse. Your line is now open.
Jamie Cook: Hi, good morning. I guess two follow up questions one within the U.S. when you're talking about your orders and your backlog, can you distinguish between what you're seeing on the vocational side versus line-haul side. If there is any variation there and then just second a nuance when you're talking about Europe relative to the retail sales guide and relative to what other customers have come out to set it sounds like you're seeing Europe sort of more stable. I'm just wondering if Europe is trending a little better than what you would have thought so far and if so what geographies are driving that? Thank you.
Preston Feight: Let's take the first part of the question, I think we are the leaders in the vocational market, Peterbilt and Kenworth are, and they do a great job of that. The vocational market is doing really well throughout U.S. and Canada. Housing start is up, construction being strong. PACCAR does a great job there and so that's a good percentage of our orders. We're obviously pleased with how that's working and feel like that will continue through the course of the year as the economy develops. I think from the European side of the question, I think Europe is working the way we thought it might work into the first quarter where our build rates have been stable there for two quarters now, more than two quarters and we're delivering good market share and people are loving the DAF trucks. Freight continues to be moved from Central and Eastern Europe into Western Europe. That's kind of a continuing trend line -- macro trend and we benefit from that because DAF is a market leader in those areas and it really contributes to our success.
Jamie Cook: Okay. Thank you.
Preston Feight: You bet.
Operator: Our next question comes from Steven Fisher with UBS. Your line is now open.
Steven Fisher: Thanks. Good morning, guys. Wondering how you feel about the second half visibility and your confidence in the outlook, obviously in the first half you have more backlog, but curious how you formed your full year market view and your assumptions in the first half versus the second half?
Preston Feight: Yes, I think what we did is we said that we have a growing economy. So that's contributory. We're very close with all our customers and we spend a lot of time talking to them about how their businesses are working because that's really the underlying principle for how our build will develop. In the last even few weeks last week or two, I've talked to several of my friends that are refrigerated carriers, flatbed haulers, and truckload carriers throughout the country just to see how their businesses are running, they're running well and yet, we still feel like there will be some, there was probably an over-buy in 2018/2019 and so that's going to normalize itself into the 230,000 to 260,000 kind of a market for U.S. and Canada.
Steven Fisher: Are those customers telling you that they're going to start stepping up their orders at some particular point in the year to be able to hit that -- make that 230,000 to 260,000 market number work?
Preston Feight: It's not that specific. I think people buy trucks when they need them and there is a huge population of people buying trucks, so it would be not accurate to model it that way, not that specifically.
Steven Fisher: Okay. And then just one quick one on the FinCo as you think about 2020, should we sort of carry forward this Q4 profitability level for the whole year of 2020 or do you think there would be some fluctuations on that relative to just demand and used values.
Preston Feight: I think the team has done a really nice job in the FinCo of delivering good performance. We expect that performance to deliver through the first quarter and then we'll watch as the year develops through that.
Steven Fisher: Okay. Thank you.
Operator: Our next question comes from Seth Weber with RBC Capital Markets. Your line is now open.
Seth Weber: Hey, good morning, everybody. I just wanted to circle back on the Europe question, I think, if my numbers are right, your market -- the DAF share actually ticked down a little bit 2019 versus '18. Is there anything you'd call out there from a regional or country perspective and do you think that that reverses here in 2020? Thanks.
Preston Feight: Yes, so two thoughts to that is, we had 16.2% in the 2019, which was the second best year ever, which is coming off of our 16.6%, you're right, that was up 1 [ph] point and 1.3% [ph] we had huge gain and we've held on to that gain and we have good momentum right now I think. The other part of it is on the medium-duty side, we grew our share from 9% to 9.7% during the course of 2019. So we actually grew there and then I think it's -- I wouldn't try to isolate down from that. The U.K. did really well, but we are performing well in a lot of the markets in Europe and I think the DAF trucks are really performing and helping our customers be successful.
Seth Weber: Okay, thanks. And then just to follow up on, I think you mentioned pricing price-cost was positive in the fourth quarter, anything you'd call out for your thoughts for 2020. Do you expect that to continue?
Preston Feight: I think what we saw was prices were a little bit realized over a little bit over 2% [ph] and costs were less than 2% and we'll watch what happens in 2020 and see how that model develops for us, but there's obviously going to be fluctuations as we go forward?
Seth Weber: Okay. That's all I had. Thanks guys.
Operator: Our next question comes from David Raso with Evercore ISI. Your line is now open.
David Raso: Hi, thank you. I wanted to pick up on the point about price cost. Is the first quarter, the implied deliveries are down about 17% year-over-year and in that context, I think the 14% gross margin would be viewed as fairly impressive? Price cost you said was positive in the fourth quarter, can you give us some sense the cadence or what do you expect for the first quarter. I think people are just trying to figure out if there is a risk to the top line, what's the decremental on it. In the first quarter, the setup on the guide, again relatively impressive at 14% gross margin with that kind of delivery decline. So can you help us a bit on maybe mix in the backlog, price/cost in the first quarter. We're just trying to get a sense of the resiliency of that again, relatively impressive decremental in the first quarter?
Preston Feight: I think -- thanks for the question, David. I think when we think about it, it's really about making sure we have the right -- that we are building the right quantity of trucks, which is obviously based on having the right orders and so we have those matched well together. We're not seeing tremendous fluctuations in costs. We're not seeing tremendous fluctuations in price. So the fact that we had a good price realization in the fourth quarter was advantageous to us and we'll see what happens as we get into 2020 and watch what that model looks like?
David Raso: So the price/cost spread in the first -- in the fourth quarter, you don't expect it to be terribly different in the first or second, I think we were just trying to figure out is that really a mix, price cost benefit to get you to stay at 14% gross margins or is it just structurally with parts and so forth that we can be somewhat comfortable even if we do want to model more conservative top line that the gross margin resiliency is there, I mean that's the kind of spirit of the question.
Preston Feight: Yes, I think if I try to get the spirit of it, it really if you think about prices because the team does a great job of supporting customers and people are willing to pay for our trucks. That's the overarching thing on price to me is that people want PACCAR products because they are the best and then they are willing to buy those products. I think that part of the truck part and other gross margin performance has to do with the strong performance of our parts organization. So that is a -- as truck sales is down, parts mix is up, that's a contributor as well and really just both of those things that keep us performing at the industry leading levels?
David Raso: But it's not necessarily because price/cost gets notably better in the first quarter as and maybe some thought your costs are down from steel?
Preston Feight: So there's nothing substantial there.
David Raso: All right, appreciate it. All right, thank you.
Operator: Our next question comes from Courtney Yakavonis with Morgan Stanley. Your line is now open.
Courtney Yakavonis: Morning, guys. Just back on the FinCo again. I just wanted to understand because it seemed like your pre-tax profit was down and I think Steven asked earlier, just about carrying forward the margin, but was there anything one-time that was impacting margins this quarter or is it just the weaker used values. Are there any impairments or increased depreciation expenses that are really causing that big step-up in the interest in other borrowing expenses?
Preston Feight: Yes, your final statement is characterizing it accurately. What you say is we had record new business volume in 2019, the $5.6 billion that was a contributor to revenue growth and then more volume on the used side was the other contributor to revenues and that was the headwind on the profit side.
Courtney Yakavonis: And I think you mentioned that you're still seeing the double-digit declines in used. Have you seen any stabilization in used values or is it's still wait and see kind of how that market checks out?
Preston Feight: Well, it is a dynamic market. I think that the nice thing is, as I said and it can't be over-stressed, the fact that especially maybe the second or equally the second owners really like our products. So that's helpful to us from the price position compared to the rest of the industry. So that works to keep us at a premium, not just for the first, but the second owner and then I would share your comment that things have stabilized a little bit. We see one way to look at that is that the amount of inventory coming in is equal to the inventory going out. So that's helpful as well. We're not building used inventory and so kind of the state of where it is right now.
Courtney Yakavonis: And then just on the CapEx side, I think your CapEx for the year came in about $100 million below what your guidance had been and you obviously didn't change the CapEx guidance for next year. So just wanted to understand kind of what that discrepancy was and if anything, is proceeding ahead of schedule or any projects got cut?
Preston Feight: No, in fact that's not exactly how we saw it. We saw CapEx was kind of slightly higher than where we'd started and we have a good cash flow or CapEx plan for 2020 as well, which is going to deliver the great products we need. I wonder if you're looking at the cash flow statements more than your CapEx commitments.
Courtney Yakavonis: Okay. Yes, I was looking at the 575 [ph] versus the guidance for $625 million to $675 million but maybe that's the issue.
Preston Feight: I think that's what you're looking at. I think so -- [indiscernible] is the number that we're talking about for 2019.
Courtney Yakavonis: Okay, perfect. Thank you for clarifying that. And then, and then just lastly, I think the comments that your build has remained steady. I just want to make sure that, that means that you really don't anticipate any further production cuts from the build rates that you are at currently?
Preston Feight: I think what we said is we would expect in the first quarter that deliveries will be down 5% to 7% and that's obviously matching the order intake.
Courtney Yakavonis: Okay, perfect. Thank you.
Operator: Our next question comes from Joel Tiss with BMO. Your line is now open.
Joel Tiss: Hey guys, how is it going?
Preston Feight: Really good how about for you?
Joel Tiss: Hanging in there. Yes, so I wonder if we could, if you could spend a minute just talking about Latin America, about how the setup is? Kind of what your market share is looking like and how you think you can gain a little bit more share in 2020 and just kind of the setup of the market there?
Preston Feight: Sure, it's been a fantastic journey for us there. We have a great set of dealers really neat products down there. We've got a lot of success with the dealers and the customers. I think the brand reputation for DAF in Brazil has grown tremendously in just a very short period of time. We're looking at our market share growth opportunities as being substantial. We think that the market is relatively stable down there. So Brazil comes in at 75,000, the South American market overall is 100,000 to 110,000. As we noted, we increased our deliveries by 60% last year in South America. So, substantial growth that way. We'll just look forward to continuing growing the truck sales. The parts business is doing really well. We introduced the Financial Services business for customer financing in Brazil last year. So a lot of good activity happening for us in South America.
Joel Tiss: Okay. Thank you.
Operator: Our next question comes from Felix [ph] with Raymond James. Your line is now open.
Unidentified Analyst: Yes, thanks for squeezing me in here. I appreciate some of the color on the parts outlook but as for sort of dissecting some of the different buckets within the business, I'm curious if you have an update on the TRP Stores. How many do you plan to add next year and maybe any color on some sort of same-store sales growth number in that existing base of the stores?
Preston Feight: TRP has been a great addition for us in reaching a new customer base. They've done a fantastic job of that. There's 210 stores now that are in operation. So that's growth year-over-year. We'll keep growing the number of stores where they make sense with our dealers all around the world. That's in Europe, it could be in Russia, it could be in South America and North America, all of the above, really. So we'll continue to see the brand grow and perform well and bring new customers to PACCAR.
Unidentified Analyst: Okay. And then just curious to see if you have an update on the margin profile into next year for the parts business. On one hand, you obviously have the aging MX engine population and then the other one the TRP revenue increase. So any color would be appreciated on that?
Preston Feight: I think the margin profile will stay relatively in the same range.
Unidentified Analyst: Oka, like 27%, 28%?
Preston Feight: That kind of range.
Unidentified Analyst: Got it. Thank you.
Operator: Our next question comes from Adam Uhlman with Cleveland Research. Your line is open.
Adam Uhlman: Hi guys, good morning, good afternoon. Going back to the MX engine, it looks like you had a pretty strong fourth quarter. I don't know how much of that increase was mix of customers that you're shipping the engine out to, but how are you thinking about your penetration rate for this year?
Preston Feight: So we have a great powertrain offering, obviously the MX engine that's a core of it. We have great relationship with Cummins as well who does a great job of supporting our customers with their powertrain. We did grow our MX engine share to 47% in the fourth quarter for a full year average of 43%. Part of what enabled that is we invested in manufacturing capacity in the course of the year last year. So we have adequate capacity to build as many MXs as we want for the customers and we look forward to seeing that continue to grow as we move through the cycle.
Adam Uhlman: Okay, got you. And then just a clarification, again on the Financial Services revenue, can you tell us how much your used truck sales were up in the quarter?
Preston Feight: I don't have that detail sitting around in front of me, but they did increase. I just don't know the number in front of us.
Adam Uhlman: Okay. Thank you.
Operator: Our next question comes from Matt Elkott with Cowen. Your line is now open.
Matt Elkott: Good morning and good afternoon, everyone. Thanks for taking my question. I think your heavy-duty percentage tends to be around 85% historically. So first, are you still comfortable with that breakout longer term. And the second part of my question, what was it in the fourth quarter?
Preston Feight: So, I think that that general percent is okay but we have great growth opportunities in the heavy side and the medium side as we look forward to it. So we'll continue to see share develop at PACCAR positively. Take a steady approach to it and been very successful growing share and we'll continue to find that same success. I don't think there'll be much of a shift though and I don't have the exact number, but you can -- your numbers of ratios are about right.
Matt Elkott: Okay. And do you think that you may have picked up some share with the GM strike in the Class 6 to Class 7 categories in the fourth quarter?
Preston Feight: I think we picked up share because we just have great trucks, great people, great dealers.
Matt Elkott: Got it. And then, just one other question that's -- if we take a longer-term view, could you update us on your strategic priorities, anything that's likely to become more of a focus, more of a growth driver, whether it's a specific region or more vertical integration of PACCAR engines or alternative technologies or anything else?
Preston Feight: Well, you hit some of them, right, we're going to keep growing organically. We're going to grow geographically where it makes sense and provides a profit for the corporation and we're going to keep making the prudent investments in technologies that deliver great trucks and powertrains to our customers when they need them. So all of those will be areas that we grow in.
Matt Elkott: Great, thank you very much.
Operator: Our next question comes from Rob Wertheimer with Melius Research. Your line is now open.
Rob Wertheimer: Yes, hey everybody. My question is, you gave helpful comments on the European market share. Are you willing to sort of talk about your theme of improving straight truck market share, where that's progressing and whether you need that to work to sort of get above a certain threshold. Any update you can give us there?
Preston Feight: It continues to be a focus. We continue to do well with it. We did grow as a percentage there in the straight truck market. That's going to continue to be an area of what we just talked on the prior question is organic growth for us.
Rob Wertheimer: Are you growing both -- well, you have room to grow both tractor and straight truck share in Europe or is there any kind of limit on the tractor side?
Preston Feight: No, there is no limit. I mean, we're the market leader in tractors and we'll continue to be enjoying that and looking for extension of that and growing on the straight truck side as well.
Harrie Schippers: So we have the product in the straight truck side. So if you look at markets where that has been for a long time, the U.K. Netherlands, Belgium, a straight truck market share is about the same as the tractor market share. So we do have the products. It's just a matter of growing that business also in markets like Germany, France, Italy, and Spain.
Rob Wertheimer: Okay, thank you. And if I can, I don't know if this is an answerable question, but I'll ask it anyway. Just what's your -- in a normal up and down cycle, what's your preferred pacing of production changes given supply chain given ramping et cetera, would you be looking to make adjustments one and two quarters out or two quarters and three quarters out, just, I know you don't try to hold a lot of inventory and not trying to stop the dealers, just a little bit about the rhythm of how you think about production changes?
Preston Feight: Yes, I think we build trucks to order is the essence of it, which is different than the automotive industry. What we do is when we talk to our customers and they need to truck, then we schedule that in and we try to maintain some kind of a visibility whether that's four, eight, 12 weeks and that's how we define our production schedules.
Rob Wertheimer: Okay. No, thank you.
Preston Feight: All right.
Operator: Our next question comes from Joe O'Dea with Vertical Research. Your line is now open.
Joe O'Dea: Hi, good morning. My impression so far and commentary around pricing expectations is that it's more of a wait and see into 2020? What we saw the last time, demand did soften in 2016 is that there was a little bit of pricing pressure and I'm just curious whether you anticipate that we should be looking at something similar just given a little bit softer demand or if you're seeing anything different out there across competitor behavior that would suggest that the pricing can hold up?
Preston Feight: I think if you think of in terms of truck part and other, in the truck side, there will be obviously market dynamics drive differences, but we have a continued strong performance, an increasing percentage of our performance coming from parts and they are doing a great job. So it's a little bit of a balancing factor to it looking back to prior cycles, but no, I don't think you should think that PACCAR's going to do anything except deliver the best margins in the industry.
Joe O'Dea: And then I guess related but a little bit more of a mix type question. Similarly, going back from if we just track 2015 to 2016, the average truck price was down and it was more than just a pure pricing effect. Is there anything to just be aware of with general mix in a softer demand environment and what that means for average unit pricing just given the mix effect.
Preston Feight: I don't really think so. I don't think there's anything in there.
Joe O'Dea: Okay, thanks a lot.
Operator: Our next question comes from Jeff Kauffman with Loop Capital Markets. Your line is now open.
Jeff Kauffman: Thank you very much. Hi everyone. Hey, you know, lot of the real smart questions have been asked here, I just want to follow up with one. I think I know the answer to and just a detail, but when you're giving the 5% to 7% down figure. That's sequentially versus 4Q, that's not a year-on-year number. Correct?
Preston Feight: Yes, correct.
Jeff Kauffman: Okay, thank you. And then secondly, with the U.S. pulling back a little bit more than Europe, at least in the outlook. How should I think about tax rate or are there any other changes that I would think about to some of the other line items that would occur as a result of that?
Preston Feight: Yes, I don't think -- there is not going be much change in tax rate overall.
Jeff Kauffman: Okay, so consistent with where we are this year.
Preston Feight: Yes.
Jeff Kauffman: Okay, that's all I have. Thank you very much and congratulations.
Preston Feight: You bet. Have a great day.
Operator: [Operator Instructions] Our next question comes from Andy Casey with Wells Fargo Securities. Your line is now open.
Andrew Casey: Hello. Again, thanks for the follow-up. Two questions, one short-term. I know it's a smaller volume market for you, but you have a pretty good share over there. I'm wondering if you could comment on whether you expect the Australian natural disasters to have any tangible impact on 2020 demand?
Preston Feight: Well, first of all, our hearts and prayers go out to the people there and the country that has been affected -- adversely affected to it. No, I don't think in the longest term that it is going to have any impact to us. We'll continue to be the market leader.
Andrew Casey: Okay, thanks. And then separately, longer term, you talked about it at CES and then again in the release today, the battery electric trucks expected to hit the market a year to-year and a half from now. Are you, based on your work with the customers, seeing any potential for acceleration in adoption rates versus what you originally expected or is it pretty much on track?
Preston Feight: I think it's pretty much on track. It has to make commercial sense or be regulated in and we have really good partnerships that we're working with to bring the right trucks to the customers and we will supply them the best trucks, the best alternative powertrain trucks as they need them.
Andrew Casey: Thanks. And then a little bit more detail on that, Preston, you have kind of divergent, I think divergent potential regulations going on between the EPA and CARB maybe that's been closed, but is there potential for a significantly different adoption rate in let's say California and associated states versus the rest of the country?
Preston Feight: There could be. I mean that can happen. It can happen in Europe that way as well. I think from our standpoint, that's not going to material effect how we develop the products. What we're going to do is develop the best technologies with the highest performance and then we will just supply those for the markets they need based upon where the customers are operating.
Andrew Casey: Okay, thank you very much.
Operator: There are no other questions in queue at this time. Are there any additional remarks from the company?
Preston Feight: We'd like to thank everyone for joining the call and thank you, operator.
Operator: This concludes today's PACCAR's earnings call. Thank you for participating. You may now disconnect.